Operator: Greetings and welcome to the Greif Second Quarter 2015 Earnings conference call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please press star, zero on your telephone keypad. As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Scott Griffin, Vice President of Communications. Thank you, Mr. Griffin, you may now begin.
Scott Griffin: Thank you, Manny. Good morning and welcome to the Q&A portion of our 2015 Second Quarter Earnings and Transformation conference call. Beginning this quarter and consistent with Greif’s commitment to enhance transparency, we posted a slide presentation and recorded remarks by executive management yesterday under Conference Calls in the Investor Section of our website regarding our 2015 second quarter results and transformation plans. We appreciate those of you who have taken the time to submit questions for us for today’s call. Similar questions have been combined so that we can efficiently address as many topics as possible. Based on the volume of questions we received, we expect this call to last approximately 90 minutes. I am now on Slide 2. Responding to written and live questions this morning are David Fischer, President and CEO; Pete Watson, Chief Operating Officer; and Larry Hilsheimer, Executive Vice President and CFO. David Lloyd, Vice President, Corporate Financial Controller is also present in the room. Before the market opened yesterday, we issued our 2015 second quarter earnings results, which is posted on our website at greif.com in the Investors section under Conference Calls. Please turn to Slide 3. This morning’s Q&A session will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Please review our filings with the Securities and Exchange Commission for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. During this Q&A session, certain non-GAAP financial measures may be discussed, including those that exclude the impacts of acquisition and divestitures, special items such as restructuring charges, and impairment charges and acquisition-related costs. There are reconciliation tables included in our earnings release in the presentation posted on greif.com yesterday. The format to today’s call is to first respond to questions emailed by investors at greif.com regarding our second quarter results, followed by questions about our transformation plans. We will then address live questions in the same sequence. I would like now to turn the call over David Fischer, President and CEO.
David Fischer: Thanks, Scott. I want to welcome everyone who is participating in today’s conference call, and especially those who have taken the time to submit questions in advance. We are intending to be more transparent in our reporting and investor communications and hope this format is more efficient and responsive to your questions. This format is new for us, and therefore we may make some adjustments from time to time, based upon your feedback, in the spirit of continuous improvement. With that in mind, let’s begin with our first question.
Operator: [Operator instructions]
Scott Griffin: Manny, thank you. We’re going to go to prepared questions that were received in the queue. The first question I’m going to read is directed to Larry. Larry, I have three questions related to free cash flow. Let me read them all first, and then I’d like to ask for you to respond. Why was free cash flow so negative for the first half of 2015? What steps are being taken to improve free cash flow in the second half, and has management revised its free cash flow outlook of $80 million to $110 million for fiscal 2015? Larry?
Larry Hilsheimer: Thank you, Scott. There were several discrete items that contributed to our reduced cash flow position in comparison to 2014. First, we paid $18 million of taxes related to 2014 gains on sales of businesses. Our paper and packaging working capital was up as planned by approximately $11 million as we build inventory in advance of our extended shutdown for the modernization of our Riverville mill. We also had a $10 million currency translation impact related to cash flow that was associated with our working capital change related to enhanced European cash management activities at October 31 related to our food season products, and contractual arrangements with our suppliers and customers which enhanced our working capital position at October 31 due to that seasonal business. That seasonality impact is then eliminated through the first half of the year. We also had a $14 million impact of accelerated payments of accounts payable to take advantage of early pay discounts in excess of our historical norms, an opportunity that we discovered in our deep dive to improve our working capital management. We also securitized less receivables in our European operations as we amended our factoring arrangements to more appropriately manage our capital needs. The amount of receivables sold as part of our factoring arrangement was lower at April 30 compared to October 31. These items combined with less cash flow as a result of reduced operating profits led to our reduced cash flow position. We did generate cash proceeds from dispositions of businesses, property plant and equipment of $18.1 million for the first half of the year, and we expect to generate an additional $30 million from four other business transactions closed and anticipated to be closed the remainder of the year. With respect to the second question, Scott, what steps are being taken to improve cash flow for the second half of the year, obviously our paper packaging business will work through its inventory build-up through the extended shutdown period and thereafter. The other businesses have focused working capital improvement plans to permit us to achieve our flat year-over-year working capital goal. In addition, we have reduced our capex plan to $130 million. On the third item, has management revised its free cash flow outlook of $80 million to $110 million that we talked about on our investor day - yes. We now expect our free cash flow to be $60 million to $90 million related to our revision.
Scott Griffin: Thank you, Larry. Larry, I’m going to stick with you. This is a question regarding operating working capital. Will working capital be neutral this year, as stated in your remarks at the New York investor day?
Larry Hilsheimer: As I just stated, Scott, our plan continues to focus on driving working capital to neutral for the year, and we haven’t backed off on that plan.
Scott Griffin: Thank you, Larry. Pete, I’ve got a question for you. Regarding the rapid decline in raw material costs, do you have high price inventory? If so, how long will it take to correct?
Peter Watson: Yes. We have seen a significant decline in our raw material costs, and the two major raw materials in resin, it takes 25 to 30 days to cycle through inventory levels. In our steel business, inventories are turned between 45 to 60 days depending on the region of the world we work with. It’s important to note that both sourcing and customer agreements we have in place that have price adjustment mechanisms work very well with moderate raw material change, but during severe changes in raw material, it takes time to work through inventories.
Scott Griffin: Thank you, Pete. Larry, I’ve got a question for you. What’s behind the drag in our accounts payable, Greif’s accounts payable?
Larry Hilsheimer: There was a large build-up of payables at October 31 related to our food season in Europe, which related to the enhanced contractual relationships that we had with suppliers. As we’ve worked through the first half of the year, our payables have returned to normal levels, and our current forecast is for a similar situation to occur this year, which could be impacted by the timing of the food season. You will note in our 10-Q that we--I mean, in our earnings release that we disclosed working capital year-over-year basically at similar levels.
Scott Griffin: Thank you, Larry. Larry, with respect to dividends, I have two questions regarding dividends. Your dividend seems very high relative to your free cash flow and earnings. How sustainable is your dividend into the future?
Larry Hilsheimer: You know, Scott, the company and its board view the issue of dividends with a long-term lens. We don’t plan to decrease the amount of our dividend, nor do we expect or desire that our payout ratio remain as high as it is currently. Successful execution of our transformation plan will drive enhanced profitability, driving our payout ratio down while generating significant improvement in our cash flow. In the interim, we have access to sufficient liquidity within our capital structure and debt covenants to continue payments as we drive operational improvement to enhance financial returns.
Scott Griffin: Larry, as a follow-up to the dividend question, I believe you answered it but I’ll ask the question again. Are there any covenants in the amended credit agreement that would preclude you from paying cash dividends?
Larry Hilsheimer: No, and we have significant flexibility in the agreement. Let me refer anybody who wants to look to read Section 7.05 of our amended and restated credit agreement, which can be found in our SEC filings. Let me address the dividend paying capacity. While our leverage ratio has increased slightly due to operating performance, our leverage ratio is at roughly 2.75, which is calculated without adding back any restructuring charge. Our debt covenant, our restriction on an overall basis is 4.0, and again I’d refer you to the details in our amended and restated agreement. While we anticipate some increase in our ratio over the remainder of the year, we will not have any issues related to violating our debt covenants, and our debt covenants will not restrict the payment of our dividends with our 2015 forecasted results, and will not be an issue as we accomplish our transformation commitments.
Scott Griffin: David, I have a question for you regarding capital. It reads, given earnings results to date, have you adjusted your capital expenditures for fiscal 2015?
David Fischer: Yes, Scott. Back in January, we clearly stated our intention to be very deliberate and much more aggressive in how we manage capex, and even restrict or eliminate it for underperforming businesses. Now, you can’t do that week to week, month to month, or even sometimes quarter to quarter, but when we see downturns in our business like we’ve most recently seen, there are constantly being reviewed a list of investment projects. We’ve gone through that and our resulting capex expenditure for this year will be more in the area of $130 million versus $150 million. But I want to emphasize that we’ve fully funded all three of our strategic growth projects this year, and much of that cash, if not all of it, has pretty much been deployed. Those projects, just to remind our audience, are the Jubail steel drum plant with Sadara in Kingdom of Saudi Arabia, the modernization of our Riverville paper mill, and the expansion of a second corrugator down in North Carolina. I’m very happy to report that those three growth projects are all within budget, they’re all on time, and most impressively, particularly for the Riverville Mill where we had as many as 500 workers at any one time in the plant, 300 of those from the outside, we have executed on all three of those to date with zero safety incidents. So we’re on track, we’re pulling back where we need to be pulling back, and we’re continuing to push forward on our growth projects.
Scott Griffin: Thank you, Dave. Pete, I’ve got a question for you regarding our rigid industrial packaging business. The first question is what are you doing to improve RIP’s North America business and restore your margins in the core business, with an emphasis on margins?
Peter Watson: At this point, we’re very, very dissatisfied with the [audio break] operational inefficiencies in most of our operations. A good example of that is we had the impact of a fire in our Florence, Kentucky steel drum plant. This plant was closed for 45 days starting in mid-April. This had significant impact on our supply chain efficiencies and our efforts to serve our customers. We have restored the operation effective June 1 and are serving customers in that region. We have had some economic factors in North America creating some headwinds in our customers’ business segments. More importantly, what I’d like to do is explain the actions we’re taking to restore the performance of the business. First, our focus is to deliver higher levels of service to our customers on a consistent basis. Some of the specific actions we’re taking, we’re having more disciplined commercial initiatives aimed at achieving value-based pricing, to improve margins in selected product lines in geographical regions that are consistent with our consolidation of manufacturing operations. Secondly, we are taking actions to improve our operational efficiencies on our factory floors. A good example of that is in our operational excellence initiative in the transformation. We had made significant improvement in our parts line that provides our Houston steel plant top and bottom components. This efficiency improvement has had a 60% change in cycle time, and what this does, it eliminates the bottleneck in our steel drum line process, which will enable higher output of finished large steel drums. Third, we are aggressively reducing our structural cost base by consolidating our manufacturing footprint. To date in 2015, we have closed or divested five plants in North America. These include the New Orleans steel plant, our Fenton, Missouri steel plant, our Oakville, Canada steel plant, and we’ve also divested two Delta plants in Chicago and Denver, and we are addressing underperforming businesses with our transform and fix plans. Now, the last point of emphasis is we are taking very decisive actions to reduce our SG&A costs that are necessary but difficult.
Scott Griffin: Thank you, Pete. David, staying in RIPS, the question is regarding our investments in the Kingdom of Saudi Arabia. Regarding the KSA steel drum operations, how big is this revenue opportunity? Greif had previously discussed this being a $40 billion investment for the chemical industry. Is that still correct?
David Fischer: Scott, back in January at the investor day, we discussed the Sadara JV between Dow and Saudi Aramco was publicly described as a $40 billion investment complex at maturity, makes it one of the largest chemical complexes in the entire world at maturity, and we were very pleased that we were awarded the initial 100% supply for steel drums at the complex, and that will be under a long-term contract. The first stage of that is a million drums, so our plant is being constructed. We’ve made the investment, and I think it points to another good example of how we’re fulfilling our aspirations to grow with customers around the world. Our Middle East team, led by [Abnoor Elsmor] [ph], is just one example of how we’re winning with customers. He and his team have done a great job. We don’t discuss specific revenue or pricing for customer contracts for obvious reasons, but just to state why in this case, it’s 100% supply to a major customer. The number of units of drums are known, and it’s very easy math to calculate how the financial arrangements made with our customer, and we’re simply not going to talk about those kind of details. But it’s a good opportunity, we’re very happy to have it, and we’re looking forward to more of those.
Scott Griffin: Thank you, David. Pete, we’re still in RIPS. The question is please provide more color on the geographic developments for volumes in RIPS for the quarter and for the outlook.
Peter Watson: If I could, I’ll walk around the world on our rigid industrial packaging volumes and some color around the circumstances. In the second quarter, and these comparisons are same store sales, they don’t include divestitures or closure, our volumes were up 1.3% on a global basis. I’ll walk through the specific regions. Our best performance in the quarter was EMEA - overall, they were up 4.8%. All the product lines showed positive improvement, and that’s indicative of the improving economic activity we’re seeing in this region. We have particular strength in plastic drums and IBCs. In APAC, our volumes are even but we’ve had much stronger volumes in plastic and IBCs, which is a targeted growth business for us in that region, but today it is a much smaller percentage of our overall business. In Latin America, we’ve seen a decline of 4% in volumes in the second quarter. We did see an increase in our steel drum volume, but we had much lower volume in plastics due to delay in the ag season. I would comment that Brazil continues to be a challenging region for us, but the rest of Latin America is showing very favorable results in profit and volume. Finally in North America, our volumes are down 9/10ths of a percent. That’s been impacted in part by IBC volumes driven by slower activity in end use markets that use this type of packaging. I’d like to also comment on our Greif packaging accessories business, which this business manufactures closures for steel and plastic drums and other industrial packaging products. We are seeing volume trends in our steel drum closures that are consistent with our volume rates in each of our four regions of our RIPS business. We are seeing some volume improvement in our plastics closure business which is created by the development growth of new innovative products by our team. I also will comment we will have a new closures plant in China this year, and we are progressing very well ahead of plan in the first year of production.
Scott Griffin: Thank you, Pete. Larry, I’m back to you. I’ve got a question regarding controls. What remaining processes need to be implemented from an accounting control standpoint?
Larry Hilsheimer: Thanks, Scott. With David Lloyd joining our organization as controller, we are making significant strides in our focus on controls. We continue on a cultural journey for some of the entities that we acquired over the past decade and moving from a decentralized model to a more centralized control model, but we feel very good about the commitment about management worldwide to control execution. We have had clear communication about the importance of controls and commitments from each leader to execute within their businesses. We have plans in process to remediate the material weaknesses, and as disclosed in our 10-Q, we expect them to be remediated over the remainder of the year. The biggest challenge from a control standpoint remains our disparate ERP systems. While we have made significant progress and have 60% of our businesses now on our LN system, our control structure will continue to be enhanced as that percentage increases and we become more centralized on one system. We anticipate 85 to 90% of our business will be on the LN system by 2017, and a great deal of credit goes to [indiscernible] and Doug Lingrel for their excellent job in leading this implementation. Control, though, is a mindset and a commitment, and it has to do with people understanding what their jobs are day to day, and like I said, I’m extremely encouraged by the commitment of our leadership worldwide to enhancing our control procedures. We have established many ancillary communication tools to continuously emphasize the importance of this control environment worldwide, and again I’m just very pleased with how teams are responding.
Scott Griffin: Thanks, Larry. Staying in that same space, when will you be able to provide a clean restated version of your fiscal 2014 historicals on a quarterly basis?
Larry Hilsheimer: Yeah, Scott, thanks for that question. There must be some confusion out there, but just to be clear, our Form 10-K for 2014, which is available on our website and through SEC processes, presents the restated quarterly information already. It’s in Note 20 to our 2014 10-K.
Scott Griffin: Thank you, Larry. Larry, I’m sorry but we’re going to keep bringing them your way. We’ve got another question coming in on foreign exchange. This question is, FX was cited in the pre-release announcement. How much a factor is expected to have on earnings in the second half of 2015?
Larry Hilsheimer: Yeah, I have shared that our estimate of the second half impact on sales is $190 million approximately, and then our rough estimate of the impact to EBITDA is roughly $21 million. I would share that from a translation standpoint, it ignores the transaction impacts of supply chain transactions. Those of you who know, work with global businesses with complex supply chains like ours where purchases of various raw materials can shift between markets, the estimation of the exact currency impact on a forecasted basis is one that is subject to estimation error, so I would just caution on that. But that’s the estimate that we’ve built into our forecast at this point in time.
Scott Griffin: Follow-up question in that space. What actions are being taken to mitigate the translational impact of FX on your earnings, the emphasis there on the translational impact?
Larry Hilsheimer: Yeah, thank you, Scott. We’ve discussed before, we do not try to hedge our translation risk for currency matters. We do work very diligently to try to enter into natural hedge situations to manage our currency exposure, and we continue to explore with our advisors other ways to try to manage our currency risks and supply chain-related currency matters.
Scott Griffin: Thank you, Larry. David, I’ve got a question for you. This question is regarding our land business. Do you anticipate any major transactions in land in fiscal ’15 or fiscal ’16?
David Fischer: We have previously mentioned that we have a signed agreement to exit our Canadian landholdings. That agreement will be closed upon in the next few months. Beyond that for the next couple years, we see no further major transactions in the pipeline.
Scott Griffin: Thank you, David. Regarding tax, earlier this year management indicated an effective tax rate of 32% for fiscal ’15. What has been the effective tax rate, and what do you expect for the remainder of ’15?
Larry Hilsheimer: Thank you, Scott. You might recall that in our first quarter earnings call, we explained that the tax rate for the year was then projected to be 38.3% due to the shift in projected earnings into higher tax rate jurisdictions, with losses being incurred in geographies where we are required to establish valuation reserves due to the uncertainty of the use of those losses to offset income in the future. Our current tax rate remains in that 38 to 39% range for the year. Now, the tax rate for our Q earnings is approximately [indiscernible]. That is due to the recognition of discrete tax benefits associated with the loss on the sale of a business in the U.S. and also the release of tax reserves related to the resolution of certain tax examinations [indiscernible] statute of limitations within certain non-U.S. tax jurisdictions which occurred during this period.
Scott Griffin: Thank you, Larry. [Indiscernible] question is regarding people and talent. It appears the company has suffered from a significant loss of executive talent over the past few years. Can you comment on this and what actions are begin taken to address this matter.
David Fischer: Well, there may be a bit of a misperception out there. That question sort of implies that everyone who has left has done so on their own accord. That’s simply not the case. We’ve always been and remain focused on making sure the right people are in the right position. This means sometimes changes are required, like Pete talked about for North America more recently, and for folks that have visited us or spent any time in our facilities with our people over the last couple of years, they immediately recognize and often comment that the quality of the people we have throughout the entire organization is very high and impressive. You know, our unique culture has enabled us to attract a lot of top talent, as evidenced by our recent hires and three new executives, experienced leaders like DeeAnne Marlow for HR, Michael Cronin in Europe, and Ollie Rossgard [ph], who is going to be joining us here in North America. Those types of talents could go anywhere, but they’ve chosen to join Greif due to our culture and the quality of the people here. Lastly, I would point to the transformation process. That process itself has created an opportunity for numerous young leaders to rise to the occasion. These younger talents have demonstrated true leadership in the first half of 2015 as we implement the transformation, and they are taking the opportunity to grow their own careers in this process. So not only are we attracting top people from the outside, but we’re also growing talent from within.
Scott Griffin: Thank you, David. Pete, a follow-up question on North America. Can you provide some context around the change in the North America leadership?
Peter Watson: Yes. As we’ve discussed, the RIPS North America business performance needs to be improved, and based on that we made a change in leadership. We hired Ollie Rossgard [ph] to lead the business due to his experience in the U.S. and Europe, as David indicated. He’s been very successful leading businesses in similar competitive environments. He starts in August. In the interim, I’m going to personally run the business.
Scott Griffin: Thank you, Pete. We’re going to transition over to questions relating to transformation. David, the first question is regarding FPS. The question is, can you please explain the rationale for your board-approved decision to remain in FPS versus the divestment option?
David Fischer: Sure, it’s a common question I get posed. Clearly the initial investment thesis that we outlined at the inception of this business has changed dramatically with the unrealized benefits coming from the low-cost country feedstock strategy we had, and furthermore the labor unrest and occupation of our Turkish operation caused great disruption to the main facility and our whole network. Our own poor performance and missteps have also made it a challenging environment, but we are where we are now and the challenge for us as leaders is to pick the best path forward for shareholders. Certainly the easiest decision would be to sell it now and take the loss, but our job is to do what’s best for the shareholders and for our investment, not necessarily to do what’s easiest. Recently we took a careful look and a in-depth review of our situation with our JV partners, and we also consulted with several outside third parties on the subject, and from where we are now, we believe that rehabilitating the business is the best value for our shareholders. Key reasons - that that business still is a fit for Greif, is that it’s in our space. This is an industrial packaging business, and we know that space very well and we have a broad network in over 50 countries. We have good customer overlap with the other activities we do, whether it’s rigids or even in some cases in the paper business. Our customers globally want the product from us. We hear that resonate with customers, offering them a consolidated source for this product on a global basis is very attractive. Lastly, we’re the only global player. There is nobody else who is following or has the type of scale that we have. Things that give me confidence looking forward -several of our facilities most recently have demonstrated a best-in-class production breakthrough on production efficiencies, and the management has a good plan to replicate that capability that’s only in a small portion of our network right now across all sites, but it is clearly going to be a real advantage for us, and it’s being practiced as we speak. The bottom line is that this business currently contributes essentially zero to our overall valuation as a company, and we strongly believe that the planned improvement we have will provide ample upside to our valuation.
Scott Griffin: Thanks, David. I’ve got a follow-up question in FPS. How do management’s previously stated goal on EBIT and SG&A relate to the revised FPS strategy?
David Fischer: Well, about a year ago or a little more than a year ago, we put out that we would reduce SG&A in the FPS business from about 17% down to 10%, and we’d improve margins significantly in that business. Last year’s events were unprecedented, and we’re just now working out of that. When we outplace 1,000 people from a site under one roof and then have to re-hire and re-train 1,000 people to get your main capability back up and operational, it takes quite a bit of time. So those goals are still out there for us to achieve, but they have been delayed, and we’re outlining in the transformation deck for our investors and analysts to look at what we’re saying in terms of the path forward for that business.
Scott Griffin: Thank you, David. Pete, staying in FPS, is FPS still incurring higher costs from the illegal occupation at Hadimkoy, Turkey?
Peter Watson: Unfortunately, there are two issues that continue to impact this business due to the occupation. The first concerns customers. While a large majority of those customers continue to use Greif as a major source for FIBCs, some of them due to the occupation added a second supplier from a risk management situation. This has reduced some of our volumes versus a year ago, but we’re diligently working to earn that business back. The second issue revolves around staffing of our plants in Turkey. We continue to train and develop new personnel in the sewing departments, which employ a very large percentage of our employee workforce in those factories. This effort is part of our implementing a shift from an outsourced labor model, which was employed in all of our Turkey operations, to employing an in-house labor model using all Greif employees. Through this structural shift in this labor model, we are effectively increasing the volume and efficiencies each month in Hadimkoy. I would like to highlight this implementation of change has created an opportunity where we’ve redesigned our cell manufacturing layout, and we are currently achieving gains of 100% in productivity of finished bags in sections of this factory. This is an ongoing process and will continue to create value for this operation in the coming months.
Scott Griffin: Thank you, Pete. David, a question for you regarding the progress we’re making on SG&A. Can you update us on your efforts to reduce SG&A by the previously announced $35 million?
David Fischer: Yes, Scott. If you back up to the January investor day, we outlined our plan to reduce our structural costs. We recognized that our structural costs are simply too high for the competitive commodity markets that we work in, and as a senior executive team we are taking a hands-on approach to fixing that. We’ve also assigned several strong leaders in the company, led by Chris Luffler, to a task force that is helping us implement this on a global basis. I’m pleased to report they’re making great progress. As I have mentioned on previous calls, the rapid growth over the past decade, including numerous acquisitions, drove up our SG&A costs in parallel with sales, and we didn’t really realize any of the benefits from scale. By reducing complexity across our business lines and by reducing complexity across functions, we’ve already achieved this year a significant reduction in headcount. So to be more specific about the near-term goals you mentioned, Scott, in 2015 we will complete the process that’s already underway and reduce SG&A expense by more than what we had discussed in the January investor day. Back then, we forecasted $15 million to $25 million reduction on a run rate basis for FPS, and about $10 million in all others by the end of this year. Now, foreign currency exchange rates have challenged us a bit on this goal as some of our marks move on a local currency basis translated into U.S. dollars, but since that time, we have developed plans and are implementing them for FPS and will be in the range I described previously in January, and we’re going to do a bit more than the $10 million in the other areas as a result of our transformation activities. So we’re going to continue to drive this initiative, we’re going to manage it from the top down, we’re going to reduce complexity in our geographies, we’re going to reduce complexity in our businesses, and by the end of 2016 we will have reduced our SG&A expenses by at least $45 million on a run rate basis. Lastly, I’ll point to Larry’s previous comment, which I think is a very good one - our global ERP system implementation is progressing, and it’s progressing very well. It will continue to be a big key enabler for us to achieve this goal by the end of 2016.
Scott Griffin: Thank you, David. I have a follow-up question on SG&A. It’s very specific, so it’s in reference to one of the slides in the deck that we posted earlier. It reads, $50 million of lower SG&A by 2017, RIPS in excess of $22 million, flexibles $10 million. Is the balance of the $18 million related to general corporate?
David Fischer: No, the corporate allocations are rolled forward into the business numbers. I didn’t hear you mention PPS, so you’d have to go back and look at the slide and add in the PPS figure as well. That will account for a portion of the 18. But if you go back and you add up the ranges that we shared with folks in the deck, you’ll see that our range encompasses what our goal is, and we have, like I said, clear plans to achieve those. Our range in the deck, I think runs somewhere around 37, 38 to 50 or 52, and if you take a look at that, we have plenty of runway to get there.
Scott Griffin: Thank you, David. Larry, I’ve got a question for you. What are the expected cost savings amount in restructuring cash component for the fiscal year ending October 2015?
Larry Hilsheimer: Thanks, Scott. Year-to-date, we’ve incurred $10.5 million of restructuring expense. Most of these restructuring expenses that I’ll talk about, the majority are severance-related costs on different elements of our plans. We’ve paid $4.8 million in cash year-to-date through April 30. For the year, we anticipate $30 million of restructuring expense as our current forecast, and the amount of cash anticipated is expected to be roughly that amount as well, although some of that relates to accruals at the end of last year - you always have that carryover effect. We anticipate ongoing transformation run rate savings from these restructuring costs to be slightly above $30 million between operational savings related to plant consolidations and overall SG&A benefits, with $15 million of similar savings this year. This is what we are already anticipating, and then as David just covered, the transformation deck addresses the incremental savings going forward.
Scott Griffin: Thank you, Larry. A follow-up question - is the $75 million to $85 million restructuring cost on Slide 34 all cash? How much is cash?
Larry Hilsheimer: With respect to that $75 million, a good portion of that will end up being--ultimately it’s all cash. The issue gets to be how much ends up being accrued at any point in time, but it ends up being ultimately all cash expenditures, and again a significant portion of that will be related to severance-related costs.
Scott Griffin: Thank you, Larry. Pete, we’re going to go over to a question on transformation with respect to the portfolio. How do you feel about the relative size and trajectory of each of your business lines? How will transformation impact the portfolio in terms of size?
Peter Watson: Yeah, let me reference this back to the slide deck, starting on Page 26. It might be easier just to walk through the four portfolio businesses and talk about the transformation as it relates to the question of relative size, and where we’re going from our current baseline to 2017. I’ll start first on Page 26 with the RIPS business. As we know, it’s a global business and our focus is on improving customer satisfaction and shareholder return. The size of the business is a reflection of an active portfolio management process based on the closures and divestitures. It also includes FX adjustments. This reflects in size a plan that’s a case of profit growth as opposed to growth for growth sake. Some of the key elements are we need to as a global business consistently perform to our customers in regard to quality and customer service, and be recognized across the globe as a consistent safe choice brand. Our growth opportunities will be very selective in regions with targeted customers. Examples of that are, as David indicated, our new steel drum plant in Saudi Arabia with Sadara. We will also continue as part of this plan in our profitable growth path on the IBC businesses, focused in EMEA, North America and APAC. A big part of this plan to manage the growth has to do with the strong emphasis on reducing our structural costs, both in footprint consolidation and improved manufacturing efficiencies, and as we’ve already discussed we’ll continue to fix or close underperforming business operations in all of our plants. To date, we have closed or divested eight operations in this business in RIPS globally, and as David said, we have targets to save a minimum of $22 million in run rate through the transformation, and that is nearly half of the company’s target. If I could go to the next slide, Page 27, it shows our paper packaging business, and it’s a business where our focus is on creating value through differentiation. We’re in a niche position in the North American market, and I believe we’re positioned for profitable growth opportunities. We’re showing pretty significant growth relative to our baseline in the model. Part of this is a completion of the previously announced growth projects at our Riverville Mill on our semi-chem medium machine. That also includes our expansion in North Carolina of an additional corrugator plant in our sheet feeding operation. Other parts of that include growth of our specialty products area, focusing on triple-wall litho-laminated sheets and some unique and proprietary coated products that we are developing. Our focus on this is to increase our current integration position to over 90%, and we’ll do that in part to some of the growth projects we talked about, including continued expansion of our unique sheet feeder model in CorrChoice. Part of this also includes how we innovate on product performance, both on the medium products we have, how we produce our lightweight corrugated sheets, and again some of the unique coating applications we’re developing in this business. If I could turn now to Page 29 and talk about flexible products and services, our focus is really to become a supply chain productivity partner, position ourselves to grow our profits. As David indicated, our intention in this business is to fix first and then stabilize the business and selectively grow it, so if you look at the growth rate or the scale of this business, it really reflects that strategy. Our plan is on profit restoration first and growth second. The size initially is smaller versus the baseline due to divestitures of multi-wall and some other divestitures, smaller divestitures on the way, and including FX adjustments. Three key parts of this plan is to spread the production capability across all three regions of APAC, EMEA and Americas, and reduce our dependency on our production footprint in the EMEA region. From a growth standpoint, we intend to grow over 15% in a three-year period with a high focus in the Americas, where our largest growth region is in this plan. We also have higher growth in some of the niche end use segments, such as hygiene applications in food and pharma. Part of our improvement and our profit restoration, which you can see is a $30 million improvement from baseline, has to do with pricing initiatives to rationalize some of our lower margin products, reducing our SG&A cost structure, and again a strong focus on fixing, closing or divesting under-performing operations. To date in 2015, we’ve closed or divested two operations and will continue to evaluate opportunities in an effort to improve the profitability of the business. Finally, what I’d like to do is go to Slide 30, which is on land management. This is a very entirely different business than the other three businesses in our portfolio. The strength in land management is it provides significant strategic financial security and flexibility. Our whole mission in this business is to create the greatest amount of value per acre in our portfolio.
Scott Griffin: Thank you, I appreciate that. We’re going to now move over to a question for David in the portfolio category of transformation. It would seem an appropriate path during the transformation to spin off timber and land to Greif shareholders. Is this being considered?
David Fischer: Thanks Scott. Periodically we review our entire portfolio, not just timber but all aspects of our portfolio and our holdings, which many of you know on our timber platform or our timber business specifically, we’ve owned a lot of these timberlands for a very, very long time, and they remain significantly undervalued on our balance sheet. Our bankers find those holdings very attractive, as do many long-term shareholders, and that has come very clear to us repeatedly over the years. We manage our lands with one of the very best teams in the industry, and it’s no coincidence that the revenues we get per acre are among the best, if not the best, in the industry, even compared to the professional REITs. We’re taking measured steps on several opportunities to enhance the value of what we do in our land portfolio. Those opportunities include surface and deep mineral evaluations on all of our lands in Louisiana, and we are also looking into surface minerals, such as aggregates, sand and gravel, on all of our lands across the south, so we’re pretty optimistic that we’re going to get some opportunities out of there. We will continue to evaluate our landholdings. We’ll continue to weigh tax-effective options that are suggested to us by bankers and shareholders alike against the long-term hold option, and we’ll certainly keep investors apprised of our position as we go.
Scott Griffin: Thank you, David. Larry, you got the first set of questions, and you get the last one of the ones we received. It’s still in the portfolio category with respect to land. The question is, would it be possible to move the land SBU from a C-corp to a REIT? Do you have a view on that as far as actions such as this in the future?
Larry Hilsheimer: I think David did a great job of just laying out how we assess our portfolio from time to time. There are many different options that you could consider with the land portfolio that would be tax preferred structures. A REIT spin-off is one that we’ve studied before. We understand how it works, and most people would indicate that it would be too small a group of assets to do that, but it could be a small cap entity. There’s favorable rulings with respect to the IRS on spin-outs of timber assets into REITs, so I think yeah, the technical aspect of it, is it possible? Sure. It’s one of the things, like David said, we’ve looked at it before, we understand it. It’s just not something that our board has considered us at the point of doing at this juncture.
Scott Griffin: Thank you, Larry. I’d like to again thank all of you that have submitted questions ahead of time that allowed us to go through this. We’re going to move into the second phase of this, which is live questions. So Manny, I would like to turn it over to you and your team to allow the first live question to be asked.
Operator: Certainly. Our first question is from Chris Manuel of Wells Fargo. Please go ahead.
Chris Manuel: Good morning gentlemen. I feel like we’ve been waiting a couple days to ask questions.
David Fischer: Sorry about that.
Scott Griffin: Well, we hope you sent them in [indiscernible], Chris, so we’d have adequate answers.
Chris Manuel: Well, we get to see how you think on your feet now, so this will be more fun. A couple questions for you. Let me start with--to kind of circle back to the RIPS North America business, and then I’ve got a follow-up related to the flexibles business, and I’ll jump back in the queue. When I look at the North America business, you cited through the quarter that volumes were actually up in the business, but that you were seeing significant slowdown in the back half. So we did a little math around this, and if you look at what you pre-announced first half to second half, or what the pre-announcement was, it suggested about a $53 million [indiscernible] income hole. I guess my question here that I’m getting to is, we can’t--even if volumes were up 10% in just the North America business, that’s only at a normal contribution rate $15 million or so of EBIT. There’s a pretty big hole as to what happened. Currency from the last time you gave guidance to now is actually benefiting you, so you’ve centered this is really a North American business. Also in your prepared remarks yesterday, you cited that steel was hurting you, so can you give us a sense--I mean, it would sound like, given my math, you’ve got a $40 million or so hole that steel is hurting you. Can you help us understand how long that’s going to be the case, how we should think about quantifying some of those numbers, and perhaps what happened from a risk management standpoint that got you so upside down in steel?
Peter Watson: Yeah Chris, this is Pete. I’ll take that question. In regard to volumes in the second quarter, we actually saw a reduction of 9/10ths of a percent in North America on volumes. The large majority of that was IBC volumes in plastics, and steel was relatively flat at that point. Let me kind of go through what is causing some of the performance issues and hope that answers some of the question. I’ll just be really honest - we are really poorly executing in that business right now, which is one of the reasons for some of the changes we made. Our volumes are lower overall, and they continue to show that trend. We’ve had a significant amount of operational efficiencies in some of our operations, most specifically steel. I cited the fire in Florence, Kentucky, but I think again overall, some of our operational efficiencies are creating challenges to us. We just aren’t officially operating at business right now. We are seeing headwinds in the market in certain businesses that we see. We highlighted some of those headwinds in the transcript and in the slides. What we see going forward is some shortfalls in our forecast based on some of those operating inefficiencies.
David Fischer: Yeah Chris, let me add a little bit to this. So two elements - you mentioned currency being favorable to us. It’s not favorable to us relative to the guidance we gave, and I know that a number of people were wondering why we didn’t call down guidance at the first quarter call because currency had shifted downward from the beginning of January. At that time, as I indicated in my pre-recorded remarks, we thought that if it remained stable, we could overcome that further degradation because of--through cost cuts and other things, but at that time we were also still contemplating an uplift in the North American business. We were looking at what everybody else was talking about - a robust U.S. economy. That hasn’t played out. And then--so our gap to what we had built into our guidance was significant, because it’s not just a gap to last year. We had predicted that the North American business would be up over last year, given everything that everybody was predicting about the economy, and we are actually now seeing the opposite. So currency is a significant headwind to us, which we can’t overcome just through the cost cuts, and then we’re seeing the down draft relative to even last year when we had predicted an upturn.
Scott Griffin: I think he also asked about the risk management on steel for the imports.
David Fischer: Yeah, on just our managing of the cost of the steel on the imports. Is that what you’re talking about, Chris?
Chris Manuel: Well, look - so kind of three elements. When you say mismanagement or mistakes or elements within the business, we in the investment community outside of industry don’t have any idea what you’re talking about, so that’s kind of what I’m looking for for color, to determine, quite frankly, is this something that is going to continue for the next 50 years? Is this something that’s going to continue for the next five months? You’ve laid out a baseline for this business and a path where you get to in ’17, and now you’re in a hole starting from. So that’s kind of the nature of that first element of the question. The second, I guess rather direct question is, are you upside-down selling steel right now? I’ve been to a number of your plants and I’ve covered you for 15 years. You don’t have more than a couple days of finished goods inventory and a week or two of steel coming in, so to be--you know, with mechanisms that adjust in 90 days to be upside down in steel, you’ve lived through much more volatile steel environments than this and not had this kind of a problem. There’s something that doesn’t make sense here. Are you upside down on steel, is the direct question.
Larry Hilsheimer: Well, let me take that, Chris, because you do know our plants well and you’ve been through many of them. We have had for the recent quarters a pretty big exposure to foreign Chinese steel imported. Our pricing mechanisms, when they are tied to the indices, work very well when raw material prices are rather moderated up or down, but when you see a rapid decline, as we have seen most recently, the index adjustment outruns the supply chain for incoming raw materials and you get a squeeze. So we have a few months to work through that, and I’ll let Pete comment about color commentary on mismanagement.
Peter Watson: Yeah again, I think I’ve talked in terms of some of the actions we’re taking on margin restoration and how to improve the business, so let me review those again. From a pricing initiative, we are addressing products and regions. We are unsatisfied with our pricing margins, and we’re taking actions. We have some operational inefficiencies. Some of it is our structural costs - we have too many plants for the volume we run, so we’re consolidating our manufacturing footprint. I think that’s evident of the five plants we’ve closed or divested this year, which I referenced. We also have a group of plants that are grossly underperforming from what they have done in the past, for a variety of reasons, which is creating a large drag on our performance which we will either continue to put in a transform and fix mode, or we will close or consolidate those plans. So we are taking a lot of decisive actions in this. This is not an issue that you will see fixed overnight. I think you will see continued improvement in this through the next six months, but those are the issues that we’re facing operationally right now and we’ve got a good plan to fix them and go after it.
Chris Manuel: Okay, thanks for some of the extra color. Let me switch gears - a question for David regarding flexibles. Look, I fully appreciate you can’t fix something you don’t have, so you need the asset there to fix it, to do work on it to make it better. But I guess my question for you is, you’ve spoke with us quite a bit over the past five years or more that you’ve owned these assets and gone through a number of different strategies and thoughts as to how you would fix these. What’s different or new that you’re using--what different tools are you using to try to fix the situation today moving forward, that you haven’t in the past? Looking through what you talked about here in the slide deck, you cited pricing, you cited consolidating some facilities there. You’ve cited pruning some business, I believe, lower margin--a number of different things of that nature, but those all sound like the same tools that you’ve utilized in the past that haven’t necessarily worked. So what’s different now versus in the past?
David Fischer: It’s a good question, Chris, thanks, and I would point to two key differences. When we embarked on the strategy, we embarked on it with a hub-and-spoke concept, that we would dependent upon low-cost country sourcing, like we’ve talked about many times, and the supply chain was set up accordingly to work off of that assumption. When we dissolved of the KSA strategy because we did not realize the savings we thought we would on both resin and power, we had to regroup around the current asset base that we were then--that we then had. Subsequent to the now-one year impact from the illegal occupation of our Turkish asset, which is our number one - I know it sounds like an excuse, but it’s our number one highest productivity, main production facility for both the webbing, meaning the fabric, and the confectionary bags coming out of it. When that was disrupted, we ended up with just trying to continue to serve our customers by spreading the load to other assets and buying bags and fabric from the outside. It made for a very, very expensive supply chain and operation, and not one I would call stable. What we are doing now is what I would call spreading the load. We’re getting closer to the customer. We’re spreading the load of manufacturing, not being consolidated around a hub and spoke nor consolidated around a Turkish concentric production capacity that I would call overweighted. So we’re moving those assets that we’ve bought, and they’re very good assets, to other facilities, to Greif facilities around the world, moving closer to the customer. The third thing we’re doing is we’re taking our demonstrated best-in-class production capability from a couple of sites, and we’re going to transfer that across the network. So we’re getting back to blocking and tackling and making things better, faster and cheaper than anybody else in the world, and we’re leveraging our global relationships with large accounts. It’s a quite attractive proposal when you go into one of our - I won’t name them - large accounts, which there are numerous, and you say to them, you can get rid of 17 suppliers or you can get rid of 11 suppliers and you can go to one. They depend upon us on the kind of quality and the service that we can deliver in the rest of our businesses. So those are kind of some of the fundamentals that we’re pursuing this time around.
Chris Manuel: Okay, thank you. I have a bunch of other questions, but I’ll jump back in the queue.
David Fischer: Thank you, Chris.
Operator: Thank you. The next question is from George Staphos of Bank of America Merrill Lynch. Please go ahead.
George Staphos: Thanks. Good morning everybody. Appreciate the efforts here to give us more information. I’m not sure we totally like the Q&A process; but anyway, appreciate your efforts here. I guess piggybacking on Chris’ question, very simplistically, can you bridge between price, volume, operating inefficiency, and any sub-categorization you’d like, what the difference in second half outlook looks like relative to your prior guidance? That’s question number one. Question number two I’ve got is, within RIPS, and perhaps within North America, can you comment at all whether your weighting across your product categories is any of the contributing factor to your underperformance? In other words, metal was, I think you said flat or up; plastics was down. Given [indiscernible] trade context, it would seem to us that plastic is doing better than what you’re seeing, and is that sort of feeding back into your poor performance; and if so, how do you attempt to fix it? Thank you.
Larry Hilsheimer: George, let me try to hit--you asked for sort of a simplistic--can we simplistically explain going from our guidance to what we’re now providing as revised guidance, so I’ll do it very high level. We gave you guidance around $430 million EBITDA before special. We’re basically taking gross profit down $70 million related to additional FX and sales that will be significantly less than what we had projected. As I indicated, we projected North American business growing rapidly. We’ve got SG&A savings that plays into that of about $25 million, $26 million, which is benefited by some FX trends as well, but those are the elements, just those two key items, is just drop in sales, drop in margin, and improvement on SG&A that’s aided by currency that takes you down to a new EBITDA range that’s about $385 million. Pete, do you want to address the second half of his--?
Peter Watson: Yeah, sure will. If you look at one key issue around North America is our loss makers. As I indicated, we’ve got some plants that are consistently underperforming in all substrates. We are doing consolidation of those plants and eliminating those that are non-performing. We also have significant margin pricing activities we are--unacceptable margins in certain products or regions that we’re undertaking. If you look at overall substrates in the portfolio in North America, there is some product migration of product decline inherently in some of our more profitable businesses, and I think that balance of mix is one small cause of the decline. But I’d go back to my comments earlier on what the key issues are in regard to commercial activities and pricing initiatives and some of our operational inefficiencies, the fact that we have too many rooftops in our business and can’t sustain that fixed cost structure.
George Staphos: Pete, Larry, just if you can clarify the answer to my first question, and maybe the answer is you can’t, and I appreciate that. How much of the $70 million or so, you said FX, how much is related to price cost squeeze, how much is related to operating inefficiencies, as you term them? Thanks, I’ll turn it over.
Larry Hilsheimer: Yeah, what we’re trying to convey, George, is most of that is volume-related relative to what we initially had forecast in our guidance for the year, because--yeah, that’s what it’s primarily driven by.
George Staphos: Thank you.
Operator: Thank you. The next question is from Adam Josephson of Keybanc. Please go ahead.
Adam Josephson: Good morning David, Larry and Pete. Thanks for taking my questions. David, more on the transformation. Obviously the company’s strategy over the past five years or so has not worked. You can see that in the A shares stock performance compared to the market. Presumably as a result, the board recently formed this special committee, I think from which many investors were expecting meaningful changes. The presentation came out yesterday. I think that I and others were surprised by the lack of substantive changes announced, which had me wondering what happened within the special committee. So David, given your presence on the board, can you shed some light into what happened and why there were not more substantive changes made to the company? Thank you.
David Fischer: Yeah Adam, thanks for the question. I won’t go into too much detail about board dynamics, but I will tell you that the entire board as well as the transformation committee are deeply involved in what we are doing. We may have a little bit of a difference of opinion in terms of the scale of changes. We were never intending to paint a picture from the transformation committee that there would be holistic changes in our portfolio, meaning divestitures of paper or timber or what have you, that we are commonly asked about. We believe that within the current portfolio, we have over $100 million of profit improvement that lays in front of us, and perhaps then some just from doing the kinds of things that we have outlined in our transformation deck. We’re going to first fix our structure costs with what I would consider by any company’s standard a big reduction in headcount of around 15%, and a significant SG&A goal tied to the overall financials. We’re also going to drive out, like I mentioned previously, the underperforming businesses either through divestitures or fixing them, and that in itself is a big move for us because we do have a very large population of plants and a significant portion of our revenue stream that’s performing quite well. So we’re going to differentiate going forward a little bit more from our past performance with a little bit more aggressive approach on how we deploy capital and resources, and what we choose to do or not do. So with the $100 million onto the current bottom line, I think the definition is appropriate in terms of transformation. If we had misled people with the title, that they were thinking there would be a breakup or spin-out or something different, than probably we have overused that term.
Adam Josephson: Got it, thanks David. I have one more and I’ll get back in the queue. Larry, regarding the dividend, you talked about taking a longer term view regarding the dividend. If I include fiscal ’15, you will have financed the dividend partly with debt in three of the past six years. That seems like a long time horizon to me; perhaps you think otherwise. Why would you use debt to pay the dividend when your leverage ratio is approaching three times, and clearly higher than normal? Thank you very much.
Larry Hilsheimer: Adam, I’m just looking at our payout ratio relative to earnings per share, and effectively it’s been below 100% every year except ’14, so maybe I’ve got a different calculation. But we--
Adam Josephson: I’m just comparing free cash flow after capex to the dividend.
Larry Hilsheimer: Okay. Obviously eventually earnings turn into cash, but I respect your view. We are not happy with the payout ratio relative to free cash flow or earnings. That’s why we’re going about transforming the company. But we do feel very comfortable about our balance sheet, and clearly if we are not successful at achieving the objectives of our transformation, we will be forced to look at that situation; but that’s not what we anticipate, and we’re confident that we’re going to get this done.
Adam Josephson: Lastly, just a follow-on - what leverage ratio are you comfortable with?
Larry Hilsheimer: What leverage ratio I’d like to be in is one we’ve previously stated, is 2 to 2.5.
Adam Josephson: Okay, thank you.
Operator: Thank you. The next question is from Ghansham Punjabi of Robert W. Baird. Please go ahead.
Matt Krueger: Hi, good morning. This is actually Matt Krueger sitting in for Ghansham. Thanks a lot for taking my questions. First, given that you previously mentioned increased levels of competition, which businesses are experiencing a more aggressive competitive environment, and what specific product types and regions are dealing with that dynamic?
Peter Watson: Thank you, this is Pete. I’ll answer that question. A comment - there’s always competitive pressures in any markets, but today I think we can point to increased pressures in all three of our large businesses, both RIPS, which is a global business, paper packaging, which is probably North American, our flexible products business, which too is a global business. I’ll make a comment that typically competitive prices intensify when there is significant deflationary trend in raw materials, and that is very consistent with what we’re seeing in all our markets around the world. To answer specifically in each product line in each region, I think there’s a little different story, but I will tell you we are seeing more pricing activity and volume attempts occurring in all the regions. I think the key is not necessarily what’s happening, but what we’re doing, and I’ll tell you - every single competitive situation we’re in, our goal is to make a sound commercial decision to ensure that we protect the profit of the business, and it further enforces the fact that we need to continue to reduce our costs in our operations, eliminate the number of rooftops we have, and continue to drive SG&A costs to offset any market headwinds that we’re experiencing.
Matt Krueger: Great, thanks. Then just expanding on what you mentioned about pockets of strength outside the U.S., I know you mentioned Europe but could you provide some additional details surrounding exactly where you’re seeing that strong demand in terms of product types, and I guess by region other than Europe?
Peter Watson: Yes, our largest volume growth for the quarter was around EMEA, and we certainly read about some improving economic activity in that region. There are certain regions that are stronger than others in EMEA. Some of the parts of southern Europe are stronger, specifically around some of our agricultural products like conical drums. Eastern Europe continues to show good growth, and we also continue to have good strength in volumes and profits in Middle East and North Africa, and South Africa and sub-Sahara.
Matt Krueger: Great, thanks.
Operator: Thank you. The next question is from George Staphos from Bank of America Merrill Lynch. Please go ahead.
George Staphos: Hi guys. I guess the first question I had - when we look at the incremental margin that you’re projecting out towards 2017, some of them are significant. In FPS, I think it’s around 80% - I don’t have the precise calculation in front of me. Recognizing you’re confident in that because you put it in the slide deck in the first place, how do we bridge to that type of incremental pick-up over the next three years? Again, if you could just do it simplistically in buckets, that would be helpful. Then broadly, you said the volume is the biggest issue in terms of the reduction in your guidance, yet you called out pricing a number of times on this call and certainly in your pre-call and in your slide deck. So I guess the question I have is, is pricing significantly worse than your expectations, and if so, is there a way to quantify how much that is off versus your expectations? Thanks for taking my follow-up.
Peter Watson: This is Pete. The one I’ll address is your comment on price and volumes. So in North America, it’s really two businesses. In paper packaging, we obviously have our milk containerboard business and our CorrChoice sheet feeding model. In our mills, the headwinds were around the pressure on selling prices, and specifically recycled medium liner. That’s directly related to the new containerboard mill entrance, also to a lesser extent projected increases in OCC for the balance of the year. I will say that those pricing pressures are consistent with what we’ve seen published in pulp and paper. We have not those concerns through the first half of the year, but we are seeing concerns going forward in our second half. In sheet feeding, our concern is in volume. There is--we have had lower volumes in the midwest due to competitive pressures from entrants, and we are consciously making commercial decisions not to chase volume that has competitive price pressures. I will tell you in the southeast, our forecast is for the second half to have stronger volumes as a part of our new corrugator expansion. In RIPS North America, as Larry indicated, the biggest headwind we have that’s causing results to be less than expected has to do more on volume and a small amount on pricing pressure.
Larry Hilsheimer: And George, with respect to your question on the flexibles margin increment, I’m just looking at it. The margin incremental relative to gross profit margin relates to a couple of elements. One is the targeting and development of high skilled capabilities to target the niche high profit margin markets, which are food and pharmaceuticals, which have much higher margin opportunities and which we have unique capabilities to go after. The second, Pete and David both talked about the significant improvement in our operational capacities by applying some of our Greif business systems, operational excellence capabilities to improve, and Pete mentioned already that the productivity in the last 60 days in the plants to which this is deployed is up 100%. The other element is that in that baseline, we had a lot of these third party source materials, which were high cost. So you put all of those elements together and you go out through ’17, and that drives a lot of the gross profit margin. On the operating profit margin, we obviously have a big shift in taking out the SG&A costs that we had talked about last year. Now, the SG&A takeout costs on a U.S. dollar basis is significantly less because of the FX translation impact, but all of those things contribute to the margins reflected on that slide. One thing that I do want to emphasize, and Pete mentioned this earlier, this is a four-year plan, five-year plan for flexibles going out through 2020 with all the pieces and parts that have to be executed, and so we actually expect margins to be better than what’s reflected on this slide through 2020.
Scott Griffin: Manny, go ahead and take the next question, please.
Operator: Certainly. The next question is from Chris Manuel of Wells Fargo. Please go ahead.
Chris Manuel: Good morning again. Just a couple follow-ups. Along those lines, when you’re talking about the RIPS volumes in North America, you cited again they were down 9/10ths of a percent through the most recent quarter, but you’ve seen a significant reduction. Can you help frame as what you’ve seen as far as a reduction? Again, if it’s a volume issue and not as much of a price issue, that would suggest you’ve had volumes down 40, 50% to account for the shortfall, and that doesn’t seem realistic. But what are you seeing presently and budgeting into your new forecast for RIPS volumes in North America?
Peter Watson: Yeah, it’s not nearly what you’re saying. We’re seeing volume projections of 5% range, and again it’s different by each business. We’re not going to get into the specific forecasted volumes by substrates and regions, but we’re seeing softness in certain sectors that we do business, specifically IBCs, which was a big part of our profit improvement in the second half, and the end use markets as it relates to oil and gas activities are showing very, very mediocre economic activity. Again, that was a big part of our profit growth the second half. I think we’re just seeing flat to slow growth, or no growth in steel. We are also doing pricing initiatives, and we have made some conscious decisions to walk away from business in the short term because we don’t feel the margins are sufficient for what we expect to make in that business. So those are all contributing factors.
Chris Manuel: Okay, and then next follow-up is in the paper business, and you just addressed some of this a moment ago, but you specifically talked about seeing price pressure from folks that were--you know, new entrants adding capacity in the marketplace. You’re one of those new entrants. You have 55,000 tons of new capacity coming in the back half of the year and additional sheet feeding capacity, et cetera. How would we think about how much price pressure are you seeing, or how much have you had to discount to sell those tons? How would we think about that?
Peter Watson: First, I’ll answer the question regarding our own capacity coming on board, and coming on board fairly soon. As you know, we’ve increased our corrugated capacity in North Carolina, and that will consume a good part of that volume. We have a very high percentage of integration, so we feel very comfortable that the volume that’s coming on in our semi-chem medium will consume that internally, and we will just consume more of our internal usage through our system. In regard to pricing, the mills have through our internal integration have kind of isolated ourselves from a lot of the pricing pressures in the first half. We are seeing that change, and our forecast reflects pricing that’s consistent with what’s currently published in pulp and paper index for the second half. Another part of that has to do with projected increases in OCC for the balance of the year that has created some margin erosion in our forecast model.
Chris Manuel: Okay, that’s helpful. Last question - David, Larry, you’re laying out 2017 commitment for free cash flow in the 225 to 235 range. We’re coming off of 2014 and it’s 125; we’re seeing that close to cut in half here in ’15. What’s the bridge between here, the 60, 70, 80--the range here to the 225? Is there maybe a couple of the elements that is there is a significant component to restructuring spending in ’16 that’s needed to get there in ’17, or how am I to think about the path?
Larry Hilsheimer: Yeah, it’s a combination of things, Chris, as you might imagine. I mean, we’ve got the uplift of our SG&A savings that will end up driving, as you can see on Slide 22 in our deck, off of the adjusted baseline a significant impact there, just in and of itself of over $45 million, which translates obviously directly to bottom line in cash flow. So as those headcount reductions that David mentioned of 350 people in SG&A, plus the pick-up that we get on cost savings of closures of plants and consolidations that end up working through not just some of the SG&A but also in our gross profit analysis, we’re consolidating that footprint and seeing those opex improvements. And then, you have the growth activities out of our Sadara million drum commitment that will produce profitability, and ultimately we do believe in the paper business, the investment that we’ve made in the modernization of Riverville and the corrugators will tie it all together. I mean, all of those things working together, along with just some plain blocking and tackling operational improvements in some of the plants that Pete mentioned are underperforming, all of those elements come together to give us a very high level of confidence in this plan. And you’re exactly right - we looked at it and said, look at how the second part of this year is. That’s already incorporated in us achieving these commitments.
Chris Manuel: Maybe I didn’t ask the question very well. Let me just try to approach it a little differently. If I look at the baseline of $68 million going to kind of the midpoint of 230, that implied about $80 million of improvement per year along the way. Is it somewhat linear, or does ’16 look like another year, to Adam’s point earlier where you’re borrowing to pay the dividend, and then suddenly we have this massive pop in ’17? What does the path look like?
Larry Hilsheimer: We are working right now on accelerating some of the actions as a result of what we’re seeing in ’15 to try to accelerate as much as we can. We have the teams working on it right now, the original timeline on some of our headcount reductions. It is not linear - there is more push falling into ’17, but ’16 in and of itself will not be in a situation where we would have to borrow to pay our dividend.
Chris Manuel: Okay, that’s helpful. Last question for David - when I look at Slide 20 where you talk about the portfolio optimization, and I think you mentioned this in your prepared remarks a day or so ago that this is the last time you’re going to be referring to this. I think this slide stayed the same since you introduced it at analyst day, but yet you’ve made quite a bit of--or it seems like you’ve made some progress along divestitures, and tying that to Slide 44 in the back where the divestitures are coming from, can you maybe help us with where you sit today in this process with respect to the divestitures? Are you--I think you have 450 flagged in the back here, 330 in rigid, 20 in paper, 100 in flexibles. What’s been done? What’s left to go?
David Fischer: Yeah, I would say I don’t have that specific figure of where we stand today once we execute everything we’ve currently done, but we closed a number of facilities, consolidated six or eight of those this last, let’s say four or five months, and that’s when the implementation phase really took hold. We also have divested a couple. With that, I would say in approximate terms halfway home in terms of our activities. We have a handful of others that are remaining that we are currently active on. With those, they are not simply just divest and walk away. A lot of these are consolidations, so the volume leaves those plants, goes to our other plants, and we intend to have some better pricing leverage out of those moves. So I would say maybe halfway home in terms of the progress, so you’re going to hear from us in the coming two quarters about additional progress, not only on the consolidation moves but we’re going to report back to you as well on advancements on our headcount reduction as well.
Chris Manuel: Okay. Thank you, guys, and good luck on the process.
David Fischer: Thank you.
Operator: Thank you. The next question is from Adam Josephson of Keybanc. Please go ahead.
Adam Josephson: Thanks for taking my follow-ups. David, just three for you. One, you talked earlier about potentially selling the land. Why aren’t you selling or doing a tax-free spin of either the land or containerboard businesses, given their obvious lack of connection to the core steel drums business, and what would be the tax implications of selling either one?
Larry Hilsheimer: I could take the tax consequences of selling either one, Adam, would be very, very significant. Our basis in our timber holdings are very low, which is why if we did anything, we would try to do it in a tax-preferred structure. As we explained earlier, we’ve looked at those from time to time, and it’s our current view that we like the assets in our portfolio. That’s where our board of directors has landed as we’ve discussed those options in working through the strategy. But you know, we will always continue to look at these from time to time and explore it, and our tax basis in our mill is also very low. I don’t have the exact number for you because we haven’t gone to that point of saying, let’s look at actually selling it. We have said this before, and David will elaborate on it - we believe that that is one of our core businesses. We’ve been in it for a very, very long time, and it’s just another packaging business. David?
David Fischer: I would add that we do not and haven’t for a while viewed ourselves as only a steel drum company. We look at ourselves as an industrial packaging company, and we’re getting deeper in the supply chain activities of our customer base in many fronts around the world. So I would make that point. I would say as far as the timing of which, you know, there may be a time that that changes and our board changes their position - that’s their prerogative. But right now, in the paper business we have several more runway extension programs, I’ll call them, where we’re going to increase the profitability of this segment. In our competitive marketplace, we’re among the highest in terms of performers, in terms of margin, and we have several key projects that are developing that are going to only enhance that form a niche play. So our runway looks very attractive to us. I would certainly want to run that runway out to its completion, and it is not restricted or limited to the capacity of our mills because, as Pete mentioned, our CorrChoice operations are significant in terms of their contribution to not only our profitability but also our competitive advantages. So I think we have a long way to go before we would press on that, and I addressed land earlier. Until we run out some of our other options of the surface minerals and deep minerals, we would not be in a position to recommend even to our board that we’d want to divest with those.
Adam Josephson: Thanks for that, David and Larry. Two others, David. One is just regarding 2017 targets. Obviously your visibility in fiscal ’15 has been quite limited, as evidenced by the substantial guidance reduction a couple weeks ago. Why bother giving 2017 targets in light of that lack of visibility?
David Fischer: Well, I think it’s very key to our transformation process. Our plan is a multi-year plan. We gave two-year goals because we didn’t think it was credible to talk about three, four, five-year goals. We want to hold ourselves accountable to this performance. Our plan is structured to achieve those goals in what I would call not only a deliberate but a very specific plan, asset by asset. So that’s what path we need to motivate 14,000 to start delivering on, and those seem very reasonable to us given what our analysis has been over the past year in the transformation progress. I also would add, and you can probably tell it from the tempo of our questions or our comments to your questions throughout the call, that we don’t anticipate the situation in North America to be permanent. We think it’s a blip in our performance. We can’t control market demand by any stretch of the imagination, but we can control what’s not working, and we are already about fixing those so we don’t anticipate the problems in North America to be persistent.
Adam Josephson: Thanks, David. Just one last one. Can you talk about how the board pays for performance? Obviously shareholders want to know that there’s a strong connection between the two.
David Fischer: Sure. Our compensation committee is very active on that subject at each quarter, and certainly on the annual meeting. You can access how they view that in our proxy statement and how they pay for performance and what goals and policies they use to manage that dynamic. I think that’s in our proxy filing each year, so you could access that.
Adam Josephson: Okay, thank you.
Scott Griffin: Okay Manny, that was the last question?
Operator: Yes, I would like to turn the floor back over to Mr. Griffin.
Scott Griffin: Thank you, Manny. The replay of the question and answer session will be available later today on our website at greif.com. We appreciate your interest and participation. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time, and thank you for your participation.